Operator: Good day, and welcome to the AZZ Second Quarter 2025 Earnings Conference Call and Webcast. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Sandy Martin, Three Part Advisors. Please go ahead.
Sandy Martin: Thank you, operator. Good morning, and thank you for joining us today to review AZZ's financial results for the fiscal 2025 second quarter, which ended August 31, 2024. Joining the call today are Tom Ferguson, President and Chief Executive Officer; Jason Crawford, Chief Financial Officer; and David Nark, Senior Vice President of Marketing, Communications and Investor Relations Officer. After today's prepared remarks, we will open the call for questions. Please note the live webcast for today's call can be found at www.azz.com/investor-events. Before we begin, I want to remind everyone that our discussion today will include forward-looking statements made under the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. By their nature, forward-looking statements are uncertain and outside the company's control. Except for actual results, our comments containing forward-looking statements may involve risks and uncertainties, some of which are detailed from time to time in documents filed by AZZ with the Securities and Exchange Commission, including the annual report on Form 10-K for the fiscal year. These statements are not guarantees of future performance, therefore, undue reliance should not be placed upon them. Actual results could differ materially from these expectations. In addition, today's call will discuss non-GAAP financial measures. Non-GAAP financial measures should be considered supplemental to not a substitute for GAAP financial measures. We refer to the reconciliation from GAAP to non-GAAP measures in today's earnings press release. I would now like to turn the call over to Tom Ferguson.
Tom Ferguson: Thank you, Sandy. Good morning, and thank you for joining us. Today, I will discuss the second quarter results and cover our outlook for the rest of the year. Jason Crawford will review our detailed financial results, and David Nark will provide an industry update on sales to our end markets. Then we will open up the call for questions. We are pleased this year with the team's emphasis on business execution and productivity improvements, and we continue to focus on what matters most, delighting customers through exceptional service and quality and innovative solutions. Top line sales momentum continued in the second quarter, and sales grew by 2.6% to $409 million compared to the prior year's quarter. We reported another quarter of expanded EBITDA dollars and margins compared to the prior year. As a result, we generated meaningful cash flow from operations of $119 million for the first half of our fiscal year, compared to the prior year's quarter, Metal Coatings sales increased by 1% and Precoat Metal sales increased by 3.8% due primarily to market share gains. Organic sales in both segments were almost entirely based on volume due to higher steel and coil coating tonnage processed in the quarter. As Dave will cover in more detail, we benefited from AZZ's diversified end markets and the continued growth in certain markets like construction. The construction-related markets represented 57% of our combined coating sales and were driven by strength related to infrastructure projects, including bridge and highway, transmission and distribution and renewables. This critical infrastructure spending tracks closely to public sector construction, energy and manufacturing. We are optimistic that Fed actions to lower interest rates may spur greater capital spending into calendar year 2025. Continuing with the summary of our results, Metal Coatings delivered a strong EBITDA margin of 31.7%, exceeding the prior year and our target margin range of 25% to 30%, due to higher volume and improved zinc productivity and cost. Precoat Metals EBITDA margin of 21.1% was also strong due to higher volume, improved operational performance and better mix. This year's strategic objectives for AZZ are to drive revenue growth and improve the company's profitability through maximizing operational efficiencies. Executing our objectives well this year has generated significant cash flow to pay down debt and strengthen the business and our balance sheet. For the first six months of our fiscal year, our growth has been entirely organic, while we continue to evaluate bolt-on acquisitions to add inorganic growth in each segment. We knew that rebuilding our acquisition pipeline would take several quarters as market transactions slowed after we paused to delever and pay down debt. We plan to remain patient while evaluating the best timing, leverage and target valuations in these markets. Jason will discuss our capital allocation strategy in a moment, but I want to emphasize that we will continue to seek high return on investment projects to drive growth. We will also continue to pay down debt and return capital to shareholders through our cash dividends. We paid down $20 million of debt this quarter and once again repriced our term loan last month to lower interest cost by another 75 basis points. An important investment this year is our construction of the new aluminum coil coating facility in Washington, Missouri. The facility will expand capacity in the aluminum container sector, where we anticipate sustainable long-term growth to occur. We continue to track on schedule and budget and expect to be operational in early fiscal year 2026. As a reminder, this facility's production and capacity will benefit from a long-term contract with one customer committed to 75% of the new sites capacity. We are excited about the progress of the new plan. With that, I will turn it over to Jason.
Jason Crawford: Thank you, Tom, and good morning. For the second quarter, we reported sales of $409 million, an increase of 2.6% from the prior year quarter. By segment, our Metal Coating sales increased 1% and Precoat Metal sales increased 3.8%. The second quarter's gross profit was $103.5 million, or 25.3% of sales, an increase of 90 basis points from 24.4% of sales in the prior year quarter. Gross margins improved in both segments, improved zinc productivity and cost helped to offset labor and other variable cost increases in the Metal Coatings segment, whereas higher volume, improved operational performance and better mix helped offset same headwinds in the Precoat Metal segment. Selling, general and administrative expenses were $35.9 million in the second quarter or 8.8% of sales, a slight improvement versus the $36.2 million or 9.1% of sales in the prior year quarter. Operating income improved to $67.6 million or 16.5% of sales compared to $61 million or 15.3% of sales in last year's second quarter. Interest expense for the second quarter was $21.9 million compared to $27.8 million in the prior year. This decrease is primarily due to consistently paying down debt and our lower weighted average interest rates from various debt re-pricings, which I will discuss more in a few moments. Equity and earnings of unconsolidated subsidiaries for the second quarter increased to $1.5 million compared to $1 million from the same quarter last year. This increase is due to higher earnings from our 40% JV ownership in AVAIL. Current quarter income tax expenses was $12.2 million reflecting an effective tax rate of 25.6% compared to 17.4% in the prior year quarter, where we benefited from the reversal of previously provided tax positions related to the acquisition of Precoat Metals. Reported net income from the second quarter was $35.4 million compared to $28.3 million for the prior year quarter. On an adjusted basis, Q2 adjusted net income was $41.3 million compared to $37.2 million, an increase of 11% from the prior year. Second quarter adjusted EBITDA was $91.9 million or 22.5% of sales compared to $88 million or 22.1% of sales in the prior year. This 40 basis point improvement in adjusted EBITDA margin was primarily driven by improved earnings and revenue strength in both segments. Turning to our financial position and balance sheet. We generated cash flow from operations of $119.4 million, ahead of last year's $118.3 million after funding capital expenditures for the first six months of $59.5 million, our year-to-date free cash flow was $59.9 million. As Tom mentioned, we are expanding our coil coating capacity by constructing a new 25-acre aluminum coil coating facility in Washington, Missouri, and we anticipate it to be operationally in early fiscal year 2026. We expect to spend approximately $63.2 million in the greenfield project this fiscal year, of which we have spent $35.6 million -- was paid in the first half of our fiscal year. Our capital allocation strategy consists of investing in the business for growth, paying down debt, returning cash to our shareholders through dividends and evaluating potential bolt-on acquisitions. During the second quarter, which ended August 31, we reduced debt by $20 million and now expect total debt repayments to exceed $100 million for the full year. Our current trailing 12-month debt to adjusted EBITDA is 2.7x, which compares favorably to our leverage of 3.4x in the second quarter of last year. On September 24, after our quarter end, we repriced our term loan B down to SOFR plus 2.5%, with the Fed also reducing interest rates around the same time, we expect these actions to have a favorable benefit to our earnings in the second half of the year. Our current interest rate swap agreement fixes our variable interest rate for a notional portion of our debt through September 30, 2025, and we have no debt maturities until 2027. Finally, we paid a cash dividend to common shareholders of $5.1 million in the second quarter. With that, I'll turn the call over to David Nark.
David Nark: Thank you, Jason. Good morning, everyone. Sales momentum for the second quarter was mixed across a number of end markets. On the positive side, sales within Construction and Electrical grew over the prior year same quarter, driven by market share gains as well as continued public sector spending on infrastructure projects, such as bridge and highway, transmission and distribution and renewables. Sales growth remained somewhat muted in the transportation category which includes truck and trailer, bus and recreational vehicles, up slightly as compared with the prior year quarter. By comparison, sales within both consumer and industrial markets were down, driven by lower consumer spending and private investment. This is consistent with what we had communicated last quarter when we said we were beginning to see public and private sector spending trending in opposite directions. As we communicated during our first quarter call, we remain optimistic about public sector spending. Additionally, we believe the recent rate action by the Fed could spur growth in both consumer and private sector spending. We continue to see secular growth trends in re-shoring of manufacturing, the migration to aluminum and pre-painted steel as well as the conversion from plastics to aluminum in the container space that will continue to benefit our businesses. With that, I'd now like to turn it back over to Tom.
Tom Ferguson: Thank you, David. As I communicated last quarter, we are optimistic about our business prospects this year. And again, I want to remind you that our business is typically more brisk during the first and second quarters, as the spring and summer months aligned with peak construction activity. As David mentioned, we see signs that public and private sector spending are trending in opposite directions. We also know that weather such as hurricanes, particularly as well as macroeconomic events or changes can impact our business. So we remain prepared for choppiness if it comes. We have accomplished what we set out to do in the first half of the year and look forward to continuing to focus on executing our plans for the balance of this year. As expected, the second half of fiscal 2025 will be lower than the first half due to the normal seasonal slowdown in construction activity as well as weather in the holidays. Also, recall that we are up against more difficult sales comparisons in last year's fourth quarter, as we reported total sales up 8.9%. Precoat sales in last year's fourth quarter delivered strong double-digit sales growth, up over 13% from the year prior. And while public sector spending geared toward infrastructure remains good, private sector spending has slowed, and we expect the Fed loosening of monetary policy will stimulate growth over time. All this to say that we plan to be conservative with our annual guidance. Today, we are leaving our fiscal year sales guidance unchanged at $1.525 billion to $1.625 billion, narrowing our EBITDA guidance and raising our EPS expectations to reflect the strong first half and lower interest costs for the balance of this fiscal year. We are narrowing adjusted EBITDA guidance to $320 million to $360 million, and increasing adjusted EPS guidance to $4.70 to $5.10. Our guidance reflects our best estimates given expected market conditions for the full year, lower interest and annualized effective tax rate of 24% and excludes any federal regulatory changes that may emerge. Capital expenditures for the current fiscal year are expected to remain unchanged at $100 million to $120 million, including approximately $63 million related to the new greenfield plant. Debt pay-down is now expected to exceed $100 million versus our previous range of $60 million to $90 million. We continue to focus on paying down debt while evaluating bolt-on acquisition opportunities that are beginning to build in our pipeline. The executive team and I recently met, to update our strategic plan and evaluate our SWAT analysis. Based on a robust and collaborative analysis of AZZ's internal strengths and weaknesses and our external opportunities and threats, we believe we are well positioned to sustain a successful track record for many years. We remain excited about our position as a leading provider of metal finishing solutions, providing aesthetic and corrosion-protective hot-dip galvanizing, coatings and other value-added services for large and diverse end markets throughout North America. We will continue to focus on growing profitably by investing in people, processes, facilities and technologies that befit AZZ's, Metal Coating and Precoat Metal's customers. Our culture creates opportunities for people to grow and develop and we believe our deep bench of talent at every level positions us well for long-term success. I am confident that we will continue to win in the marketplace by focusing on the customer first, with a disciplined execution of our strategic initiatives, targeting sales growth, operational excellence, margin enhancements and working capital improvements. We believe the successful execution of our current year plan and our longer-term strategic initiatives will deliver significant free cash flow and maximize shareholder value for all AZZ stakeholders. I am proud of the work and dedication of our teams in both segments and our corporate headquarters. And I want to thank them again for delivering excellence in everything they do. Our value-added lower-risk tolling business offer customers a best-in-class experience with an unmatched competitive moat based on our 65 years of experience and a legacy of exceptional customer service. Our Board, leadership team and segment teams are fully aligned to execute our near-term objectives this year and longer-term strategic growth plans. With that operator, I would like to open up the call for questions.
Operator: [Operator Instructions] The first question today comes from Lucas Pipes with B. Riley Securities. Please go ahead.
Lucas Pipes: Thank you very much, operator. Good morning, everyone. My first question is on the M&A opportunity set. And I wondered if you could maybe speak a little bit to your appetite right here for acquisitions broadly, anything on the bolt-on side that is maybe more attractive and what the timing could look like? And also geographically, where would you focus? And I recall in the past, you looked at paint lines at maybe some of your customers or competitors -- does that still make sense here? I appreciate your thoughts on the M&A landscape. Thank you.
Tom Ferguson: Yes, Lucas -- we've gotten active in the pipeline again. And so within the galvanizing sector, we've got a lot of open space out there. So we're looking -- call it, to the Northwest Rocky region, but basically -- and also the Southeast. So wherever we don't have significant footprint. We're open -- and probably even if something came -- one-off -- became available, where we've got some capacity, we look at that, too. So on the galvanizing side, I'd say there's pretty much nothing that's off the table. And there's a lot of both -- well -- a lot of one-off, two-off of opportunities out there and then there's one or two multisite if they became available, we'd be very active on those. So we don't have anything in the works that I would say -- I'm anticipating closing before we talk again at the end of the third quarter. So I'll leave it at that. On the Precoat side, there's opportunities these conversions of customers. We're active on that. They take a few months to go through the process and work through. But we've got a nice list of those as opportunities for the balance of this year and into next year. The interesting thing about that, it's while we would always announce a galvanizing acquisition on these conversions, because it involves a specific customer, it's probably not likely we'd announce the specifics on it. We would just talk about the fact that we completed one. Hopefully, that answers your question.
Lucas Pipes: That is very helpful. Thank you for that context. In terms of the M&A for the business, post the Missouri ramp, where do you think it would kind of level out on a steady state?
Tom Ferguson: In terms of just overall sales growth?
Lucas Pipes: Yes, in terms of overall capital spending?
Tom Ferguson: Capital spending -- yes. I think we've talked about it. Each segment needs about $25 million to $30 million in maintenance and with -- that includes some growth capital. So call it, $60 million between the two segments, a little bit of corporate for IT and things like that. We don't have anything -- no other greenfield -- that are in the works. So I'd say that $60 million on a normal annual basis is about the right amount if outside of acquisitions and -- and that's just the way it's stacking up. We're about to enter our planning process for next year, and I'm sure we'll get we'll get to middle of requests for quite a few opportunities. And as we do -- we get those carefully. We want to make sure we take care of safety first, productivity, maintaining environmental capabilities and all that. So $60 million is a good number. If we find something else, it would be -- in the $5 million to $10 million range for growth capital.
Lucas Pipes: Got it. Excellent. I really appreciate all the color. To you and the team, best of luck. I'll turn it over for now.
Tom Ferguson: All right. Thanks Lucas.
Operator: The next question comes from John Franzreb with Sidoti. Please go ahead.
John Franzreb: Good morning, everyone, and thanks for taking the questions.
Tom Ferguson: Sure John.
John Franzreb: I'd like to start with something you mentioned in the last conference call and you actually talked about in years past, and that's reconstruction following hurricanes. I guess two questions. One, I know you have a facility in North -- South Carolina, one in Virginia. Can that adequately address some of the lean construction? But you don't have anything in the southeast, as you just kind of pointed out. Can the Mississippi facilities address what's going on in Florida? Just kind of curious like thoughts about that and also timing when that happens?
Tom Ferguson: Yes. Great question. And first, our thoughts and prayers just go out to the folks that are affected in the areas. And we do have the one facility in Tampa. We were able to close it and evacuate the people, and there's a little bit of property damage. So that's where we do have the -- out of Hurricane Harvey, we formed AZZ Care's Foundation, which is a 501(c)3 to support our folks and their families for exactly events like this. So on the people side, that's - all our folks are safe, but they do have some property damage. We've got a facility in Virginia, facility in South Carolina, and then we're in Alabama, Tennessee, Mississippi. And the thing I'd say about hurricanes is, number one, the fabrication that's going to go on to support those is going to quite a lot of that, because facilities are damaged within - particularly within Florida, but also some of the other states impacted by Helene. So the fabrication is going to go on adjacent to those states. And so then you think about our facilities that are stretched around those. And by the way, we do - when you add Tennessee we've got quite a bit of capacity on the galvanizing side within that sector. And then on the Precoat side, that's sheet metal rev, sheet metal siding, doors, all those stuff that kind of like on the stadium where you see roof ripped off. That stuff is going to be produced and painted and facilities that they don't have to be within those states. So we stand ready to support the recovery and rebuilding efforts and have the capacity to go ahead and commit to whatever it takes for turnaround to help those businesses out. I'd say that the first reaction is just rescue and recovery. So the first few months is probably a little bit - within the facilities in those areas. A little bit of a lag as projects have to get restarted. So I'd say you usually see it with about three to six-month lag in terms of that ramp-up to do the rebuilding work. And then due to the magnitude of what we've seen, that's going to continue on for a while, just given the amount of bridge highway rework, buildings, signage, just everywhere you look, towers, poles. So yes, three to six months is the lag time.
John Franzreb: Thanks also for addressing the Precoat side because it was going to be one of my follow-ups, but I appreciate it to find out that they also participate in that reconstruction. Second question, I guess, I'm kind of curious about your thoughts about the volatility we're seeing in zinc prices and how that's helping or hurting the current pricing environment? The swings in the past six months have been shocking to me, I guess, just curious about your thoughts there? And what should we think about that on a go-forward basis - because I know you're going to face some tough comps in coming quarters.
Tom Ferguson: Yes. As you know, so our zinc moves through our kettles with about a six- to eight-month lag from the LME. So we've got our zinc costs continuing to go down the balance of this year. The volatility in the pricing, what that often affects is the premiums move somewhat around it. So if you go back a couple of years, it was premiums were $0.32, $0.33, $0.35 and then I think this year, they're $0.18, $0.19. So as zinc price goes - zinc - LME cost goes up, the premiums often adjust around that. So that's the first reaction. We've done our best to - we offer a whole package of value-added services. And so we've in most ways, we've disconnected our end price from that zinc costs than underlying zinc costs. I will say when you got this kind of volatility, it tends to be easier to move the total price up just because the zinc costs are moving around and different competitors are having to buy spot versus what they've got already purchased. So we're watching it carefully because we've seen - forget how long ago it was, but not that many years ago where it popped up over $2, and that tends to drive the overall price level of galvanizing up. And yet it's still a small part of the total projects. So it doesn't drive it up to the point that they switch to a different process. So - but right now, it's not causing us any great concern. But - and I'll also say another thing, this is when the annual commitments get - we're coming into that season - November, December, where the where the zinc suppliers are negotiating commitments and volumes and premiums for the next year. So in some ways, there's always some volatility during this part of the season.
John Franzreb: Got it. And one last question if I could sneak it in. The JV income for the quarter was down sequentially from the recent trends, but you left your JV guidance unchanged. I'm just curious, if that is a timing issue. Maybe any kind of color behind that? What are you getting out of the JV?
Tom Ferguson: Yes. That was just a timing issue. I think that we'll see that pop back nicely in Q3 based on what we know at this time. So that's going to bounce back, which is why we held the range of $15 million to $18 million. And so I feel very comfortable about that, that - that's going to come in for the year to the midpoint to maybe even the upside of that.
John Franzreb: Great. That's good to hear. Thanks for taking my questions. I'll get back-in the queue.
Tom Ferguson: Sure, thanks.
Operator: The next question comes from Matthew Krueger with Baird. Please go ahead.
Matthew Krueger: Hi, good morning, everyone. Thanks a lot for taking my questions. I wanted to focus in a little bit on price cost. But what was the specific impact from price cost during the quarter? And then if you could include any impact from zinc fluctuations, that would be great. And then first half versus second half, what have you seen already in the first and second quarter from a price cost perspective for the year and its impact on EBITDA? And then how does that compare to what you had budgeted for the remainder of fiscal '25?
Tom Ferguson: Yes, I'll start. Jason may want to add some color here. But or - some specifics, maybe I'll be the color guy. When I look at it, so first quarter prices were solid as compared to first quarter last year and actually up. I think the second quarter - and it's less about competition, but prices were down slightly in Q2 versus Q2 last year, but that was mostly related to mix. So when we're looking at it, in terms of paint costs or in terms of zinc cost that it was just the mix of business drove the realized price down slightly. We're seeing the normal price pressures. And interestingly enough, it was probably more on the galvanizing side, more in the Southeast region, where there's tends to be a little bit more capacity than there's been demand. Some prices get affected there earlier rather than later. And I just - I hate the way it sounds, but because of the hurricanes, that's going to occupy that capacity in the Southeast. So that's probably going to flip back over on a go-forward basis in terms of us and our competitors. Just talked about the zinc volatility - because it's a component of our costs, 20% of sales or so, and we work around it, and we've got different cost of the zinc sitting in our kettles. What we buy on the spot market is - for some of our yard inventories and or to fill some excess demand in a particular region for some specific plants. So for the most part, we're still experiencing the underlying things - that we had bought eight months ago but still trending costs trending down. In terms of paint what they tell me on the Precoat side is the cost never go down or paint prices never go down. And at least that's for the time we've owned Precoat that's been the case. We've got so many different value streams that we bring to bear that so we tend to focus on what's the final landed price and the trend going forward, it's -- as David alluded to, some of the private sector markets, industrial markets have softened, but then there's been a lot of the public influence spending, whether it's for infrastructure bridges, highways, transmission, distribution utilities. So we've -- everything we've got right now, we've factored in to had been factored into our budgets and we're a little better than what we had budgeted. For the balance of the year, I'd say -- our outlook is positive. We're expecting second half this year to be slightly better than second half last year, excluding any hurricane impact in the latter part. I don't know that I've answered everything, but it's that prices are holding and yet just a little bit - same due to mix. Our margins are continuing to be strong because we're driving the operational improvements. We've also got a lot of value-add services that we provide. And then we've had productivity gains. So Jason?
Jason Crawford: I don't think you left anything that I can add to that. I think the basic summary is - any change you're seeing in pricing is more related to mix than any pricing fluctuations within the marketplace. We see that playing out through the end of the year as well. We don't see it being a dynamic pricing market in the second half of the year. And then in terms of economics and price challenges within our supply base I would say that's very much normalized and very much aligned to our expectations and our budgets. And as Tom highlighted, as you look at our productivity improvements, then we're certainly offset - that with continuous improvements within the various facilities. So I would say that the second half is very much going to be in line with the first half in terms of what we'll see.
Tom Ferguson: And then I would add just one other thing you brought into - so with zinc costs now going up and the volatility in that. So obviously, that could become a headwind as we get into next year to some extent. But I'll come back to I think that actually could benefit us in some ways because with the demand coming out of the hurricane rebuilding there could actually be opportunities to increase prices along with that zinc cost going up in the overall market. Because while we like to talk about our value pricing at the end of the day, there's still some connection to -- when customers see zinc costs go up, they kind of expect us to be raising prices. So that will flip over for us as we get into next year. But I think there's going to be opportunities both on the productivity side as well as on the pricing side, if demand - is stronger than what had kind of been anticipated.
Matthew Krueger: Got it. That's really helpful. That's great detail. And then just for my second question - big picture, can you provide some added detail on the sustainability of margins at current levels in context of the recent demand fluctuations? Is this current operating environment sufficient to support the over 30% and 20% EBITDA margins, respectively, in Metal Coatings and Precoat? Or do we need a recovery back somewhere closer to mid-single-digit growth across the business to really sustain those elevated margins? Just any thoughts there?
Tom Ferguson: Yes, that's a great question. I think Q2, we demonstrated that in spite of the fact that volumes on the galvanizing side weren't up that much. And I'd say there was volume to be had, but we've done - I think our team on the Metal Coatings side demonstrated their discipline around not chasing volume for volume sake. But focusing on value and profitability. So while I - on a quarter basis, because when volume drops more significantly, just given the fourth quarter depending on what happens with winter. But no matter what happens, construction slows up in the winter months. So when we're talking about weather, we're talking more about the winter versus spring summer fall type of thing. So I think we've got that opportunity given the demonstrated discipline in Q2, as long as we continue that, which we would intend to we'll - we should be able to hold those margins other than Q4, just the - when volume falls off - as it does it'll probably drop slightly below 30%. We've got to revisit the range, and we'll do that as part of our planning process that will kick off here shortly. Because 25% to 30% is one too long of a range, too wide of a range. And two, we've been - I think five of the last six quarters, we've been above 30%. So I think given outlook, I would hope that we could sustain that, at 30% or close to it. On the Precoat side, it's all about volume. And so when they've got volume, we've talked about they can stay above 20%. They're in the same situation. In the fourth quarter, construction slows up. So we'd like -- but I think 20% -- is a good number. It's in the center of the range. Fourth quarter could drop to 19% as we've seen. But our focus right now is on maintaining that -- the good volume and the good mix. So I am liking the 20s.
Matthew Krueger: Great. That's helpful. I'll turn it over.
Operator: The next question comes from Timna Tanners with Wolfe Research. Please go ahead.
Timna Tanners: Hi, good morning. Thanks for including me. I wanted to ask about the comment on productivity and market share gains and wonder, are we -- what inning are we in? And the how much more of that could we see in both productivity and market gains?
Jason Crawford: Yes. I think there's a couple of things. One, on the galvanizing side, we're -- from a productivity perspective, using our digital galvanizing system, and obviously, there's still some opportunities with AI and other things that we can streamline and probably more on the -- maybe on the G&A side. But operationally -- and we're continuing to invest in our equipment and infrastructure -- but yes, we're mid to later innings on the galvanizing side, but I think we've still got a couple of years of opportunity to drive productivity and efficiency improvements given the fact that -- and I'll use this -- we've got 41 galvanizing locations and there's always that bottom quartile that we need to focus on and bring them up to fleet averages. And so that's why I still say we still got a few innings to go on that. Our really strong facilities performed consistently at this very high level. We've kind of got what we're going to get out of those -- but we still got 20 facilities to go focus on. And I think that's the challenge over the next two or three years is to just work through those and make sure that our playbook is being managed with this disciplined fashion in every facility as it is in the top per formulas. So on the Precoat side, I think we've got investments that we're going to continue to make in the production lines and give us opportunities to keep those margins high and drive some of that productivity. The team is really, really good operationally. And -- but kind of the same thing. We've got a number of the sites that are performing probably near peak. And then the others that we've got opportunities. So I'd say we're probably in the mid innings -- earlier to mid-innings on the Precoat side. So -- and we're going to be doing -- some systems work. We're going to be doing some things with -- there is -- we do have some tools like CoilZone, but bringing in kind of more of the things we can do with DGS and having some opportunities to drive efficiencies and productivity more universally. So I'm optimistic about our opportunities to maintain and improve margins.
Timna Tanners: That's helpful for the productivity part of the question. But on the market share side, do you think there's room to also continue to take some market share?
Tom Ferguson: Absolutely because there's well, there's two things. And they're a little bit -- we talk about how galvanizing -- there's still more penetration of hot-dip galvanizing into construction and architecture and things like that in the U.S. versus Europe. But in terms of taking market share, I think on the galvanizing side, as we demonstrated this last quarter, we're very disciplined. So I think on that side, maintaining market share, we're 35% market share, at least in what we play in. So pushing that up a little bit, we can do that. But it's not as big of an opportunity in my mind -- as it is on the Precoat side, I've got to be a little bit careful because some of our highest performing sites are actually volume constrained at the moment as we're in peak season. But looking to find opportunities for those conversions -- and I view that as a market share because when we get a customer to stop painting their own stuff, that's a form of market share gain. And I think there's more of those opportunities on the precut side than there is on the galvanizing side. So I'd I put this as fourth inning.
Timna Tanners: Okay. Super. Thanks. And then one more for me if I could. On the capital allocation, I know you've had a really steady dividend. Any insights into what could cause that to go up or what conditions you need to increase shareholder returns or think about buybacks in addition to the dividend maybe?
Tom Ferguson: Yes, I think there's a couple of things. One, we're still paying down debt. And now that debt service is getting cheaper, which is great. But for now, we're still trying to get that get ourselves down. I think our current target is more like a 2x leverage. So we're still focused on that. We are looking at the dividend as one opportunity, but that's probably not anything we're going to action this year. And it's dependent on if that acquisition pipeline, if we start nearing some things, then I think that -- I'd rather get the acquisitions done because those will -- if we can buy some things for nicely under our leverage than our multiples -- and I think that's where I'd rather spend the money. So we've got the CapEx investments, investments in some technology as well as the acquisitions and then continuing on the debt side for now. And I think as we put our plan together for next year, we get to, as we always do, give guidance for the next year in late January, early February, we'll talk about that more.
Timna Tanners: Okay, great. Thank you very much.
Operator: The next question comes from Mark Reichman with Noble Capital Markets. Please go ahead.
Mark Riechman: Thank you. I was wondering if you could talk a little bit about how the revenue will ramp up from the new Washington, Missouri facility. If I remember correctly, it's expected to generate revenue of $50 million to $60 million, so given that fiscal year 2026 starts in February, would you expect to fully realize that in fiscal year 2026? And -- and what is just exactly what does the ramp-up look like?
Tom Ferguson: I'll let Jason to answer that since.
Jason Crawford: Yes. Yes. To be fair -- we consider our testing here through the end of this fiscal year. So really, the line starts to ramp at the start of fiscal year 2026 for us, which is the March time frame that you mentioned. I would see us in that first year, getting to that peak revenue. We will start to build the line slowly and make sure that operationally, we're executing. So really -- you would be in that second year before we see that full run rate associated with revenue and margins.
Mark Riechman: Okay. So just to reiterate, I mean, so the ramp-up takes how long to kind of get to that peak run rate?
Jason Crawford: Yes. So again, if you think about the first year, then we will ramp through that first year. As I think about the second year, you're probably just tearing off that ramp. So in the second year, we'll probably at the lower end of that $50 million to $60 million estimate -- that's out there. I think as you look at the first year, then you could probably half that number in two. It's all subject to, obviously, the customer and the facility operationally that we get up and running. So those numbers could move to the right and we could get up quicker. But as we look at delighting the customer, then certainly taking a slow cautious approach -- is going to be our preference.
Mark Riechman: Okay. Great. And then the second question I have is just -- I think we've touched on a lot -- during this call. But -- just in your view, what are the wildcards in terms of coming in at the low end versus the high end of sales and the EBITDA guidance? I mean is it more a matter of sales or margins -- sounded like the margins you're pretty comfortable with?
Jason Crawford: Yes. I think when we were putting this together, I'll say a couple of things. Right now, some of the things that the hurricanes are going to be positive for us, which if a bunch of our facilities had been flooded and overrun, it could have been negative. So it's moved from that to opportunity and upside. So I think the low end of our sales range is out of the question at this point. We also got off to a strong quarter here in Q3 through September and the outlook for October. So -- some of the things that had us concerned on the sales and EBITDA side have now been mitigated and probably turned into the positive just recently. And in terms of -- and then we also feel better about the equity income from AVAIL. So I think the latest news from their third quarter gives us confidence that, that's also going to trend to the high end of the range -- not that it affect EBITDA but I mean sales. But -- so I think some of the concerns we had we have less just over the last 72 hours that things have trended positively for us.
Mark Riechman: Just one follow-up on that AVAIL. It did have a strong second half last year, would you expect kind of a similar split in the third to fourth quarters? Or is it a little too early to predict that?
Jason Crawford: No, that's exactly what we're predicting because they -- unlike us, they've got backlogs, so they can predict theirs a lot better. Yes, I think you're going to see a similar trend. They're looking at a strong second half, and they had a strong third quarter.
Mark Riechman: Well, thank you very much. Much appreciated.
Jason Crawford: Sure.
Operator: The next question comes from Adam Thalhimer with Thompson Davis. Please go ahead.
Adam Thalhimer: Hi, good morning, guys. Nice quarter.
Tom Ferguson: Hi, Adam. Thanks.
Adam Thalhimer: Can you talk about visibility on the electrical T&D side? What are you seeing there?
Tom Ferguson: We're seeing really strong and continuing really strong. It's -- yes, when you look at poles, towers, things like that. And then, of course, we're loving data centers, too, which does necessarily tie to that. But -- our outlook for the next -- well, far as we can see out, is very positive and robust. And clearly, the hurricanes have done some additional damage to the -- on the T&D side, particularly. So that just got stronger to, at least in the short to intermediate term.
Adam Thalhimer: And you actually touched on my follow-up question, which was data centers. And I think last quarter, you talked about a data center benefit at Precoat?
Tom Ferguson: Yes, there is because they paint the panels. And this really -- it's a great business, and there's just a lot of them being built and a lot more that are going to need to be built. So good opportunity. And it's one of those -- our old electrical group that's in AVAIL is converted to pre-paint instead of post-paint, and they do a lot of data center work. So we remain excited about that. That's one of those opportunities that just exciting to think about.
Adam Thalhimer: Great. And then just for Jason quickly on interest expense. What are you using for the back half?
Jason Crawford: I mean, obviously, we were -- and we refinanced our term loan B there in September and then the segment and reduced our overall interest rates as well. We're recognizing that -- we've got north of 50% of our Term Loan B fixed there. So in terms of building an additional 75 basis points, which if you look at our term loan B is round about $7 million of a rate reduction -- then certainly, that's in fact in the back half. If you look at the forward curves and what was forecasted in there and our swap management, there's not a huge pick up there. There's more confirmation of what was already in our forecast.
Adam Thalhimer: Okay. Good. I'll turn it over. Thank you.
Tom Ferguson: All right. Thanks, Jason.
Operator: The next question comes from Lucas Pipes with B. Riley Securities. Please go ahead.
Lucas Pipes: Thank you very much for taking my follow-up question. You touched a little bit on this throughout the call. But with EBITDA guidance implying about a 16% decline or so -- second half versus first half. Could you touch on the key drivers there? How much of this is seasonal versus maybe changes in mix -- changes in public versus private spending, et cetera? Thank you for your color.
Tom Ferguson: Yes, great question. I think it's just 100% seasonal. We, at this point, given how we started in Q3, we anticipate now the second half of this year is going to be slightly better than the second half of last year. So I think we had some conservatism in our EBITDA range. So we feel good about it, but there is just a seasonal impact on construction volume -- which we would normally -- as things look right now, we'll see that in the fourth quarter. So third quarter is looking fine on a comparative basis and from an EBITDA perspective. So we don't see anything that's going to impact us from a profit margin perspective in terms of price levels to more -- some extraneous cost issue. So pure seasonality related to the volume. And yet second half this year, better than second half last year.
Lucas Pipes: Very helpful. I appreciate that color. And very quickly on the kind of broader demand backdrop with the recent rate cuts -- how quickly do you think this would flow through? And have you seen already changes in pockets of demand? I appreciate it.
Tom Ferguson: Yes. I don't think we've seen much of it at all. It's I think as the -- get through the election cycle, as we talk to customers, they're still waiting to see what happens in the election -- waiting to see for what's the next rate cut. So I don't know that we've seen much change at all in terms of opportunities other than we've got customers talking about it. And as they -- I think it's going to affect their CapEx plans for next year -- and so they're coming up on budget season. And so as they budget for that, we could start seeing that as we get into next year and start seeing the impact from those interest rate cuts in terms of project activity and spend. So I'm looking forward to that as we now do our budget for our -- as we kick off ours for the next fiscal year, we'll be anticipating some of that, and probably it will affect our CapEx outlays a little bit as we could justify projects easier.
Lucas Pipes: I really appreciate the additional color. Best of luck.
Tom Ferguson: All right. And with that, I will close it up. Thank you for participating in our second quarter earnings call. We look forward to continuing the success that we've had and our focus on execution and taking care of our customers is going to be our focus for the balance of the year. We look forward to talking to you at the end of a successful third quarter.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.